Operator: Good afternoon everyone, and thank you for participating in today's Conference Call to discuss Points’ financial results for the Fourth Quarter and full year ended December 31 2021. Delivering today's prepared remarks are Chief Executive Officer Robert MacLean, President Christopher Barnard, and Chief Financial Officer Erick Georgiou. Following their prepared remarks, the management team will open the call up for any questions. Before we go further, I would like to turn the call over to Cody Slach of Gateway group, Points’ IR Adviser, as he reads the company's safe harbor that provides important cautions regarding forward-looking statements. Cody, please go ahead
Cody Slach: Thank you. Please be reminded that the remarks on this call, may contain or refer to forward-looking statements within the meaning of Canadian and U.S. securities laws. Management may also make additional forward-looking statements in response to your questions. Although management believes these forward-looking statements are reasonable, such statements are not guarantees of future performance or action. And are subject to important risks and uncertainties that are difficult to predict. Certain material assumptions are applied in making forward-looking statements, and may not prove to be correct. Important factors that could cause actual results to differ materially, and the assumptions used in making such statements, were included in our fourth quarter and full year 2021 financial results press release issued prior to this call, as well as other documents filed with the Canadian and U.S. securities regulators. Except as required by law, the company does not undertake any obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. With that, I'll turn the call over to Points' Chief Executive Officer, Robert MacLean. Rob?
Robert MacLean : Thanks Cody, and good afternoon everyone. We delivered strong growth across our key metrics in the fourth quarter, sustaining the momentum we generated throughout 2021. Our fourth quarter revenue reached a record and we generated not only our fifth straight quarter of sequential gross profit growth, but also our highest level of gross profit in the past eight quarters. Despite the onset of the Omicron variant late in the fourth quarter, we continued to generate transaction growth across our platform, both on a year-over-year and a sequential basis. Similar to what we saw with the Delta variant during the third quarter, the impact from Omicron is proving to be temporary rather than a longer term pattern, and our performance so far in the first quarter of 2022 has also been very strong. Even as we continue to operate in a dynamic industry environment, we believe that our partners new found appetite for even more growth within their Loyalty Program s is strengthening both our current performance and the long-term potential of our own business. As broader recovery trends continue, we believe that our partners visibility for their businesses and the evolving new normal for today's travelers will continue to improve.  While many of our hotel partners and some airline partners are already exceeding pre-pandemic performance, each of our partners still has a significant room to grow. As travel restrictions continue to ease globally and more carriers gradually expand their international routes, we believe the current trends will create additional opportunities for us as we enter our next phase of growth. Whether they have already returned pre-COVID levels or still have a long road ahead towards full recovery, travel and hospitality operators recognize the immense value and flexibility that Loyalty Programs have offered their businesses throughout these past two years. Loyalty Programs, not only outperformed the broader travel and hospitality industries throughout the pandemic, but they've also served as a source of financial collateral and a vital medium for engaging customers in times where global travel activity was at an all-time low. We've continued to see evidence throughout the pandemic that Loyalty Programs remain among many operators in most valuable assets. This was most recently demonstrated by our Mexico's announced plans to repurchase its Loyalty Program. By making strategic use of their Loyalty Program, operators are strengthening a foundational element of their recovery efforts, as well as the next phase of their growth strategies. Accordingly, many of our Loyalty Program partners have continued to adopt a more aggressive posture towards enhancing their offerings and leveraging our robust platform. When I reflect back on our performance since the onset of pandemic, I'm pleased with the resiliency of our business and our ability to steadily execute on our growth drivers of launching new global partnerships, identifying cross-sell opportunities with current partners, and enhancing our marketing and merchandising capabilities, to drive maximum performance of our existing in-market product deployments.  Our Loyalty Commerce platform positioned us well to take advantage of a business development pipeline that strengthened significantly throughout the pandemic, with both new partners, and existing partners. And this continued in the fourth quarter of 2021. From a new partnership perspective, our new relationship with EVA Air that we launched in the fourth quarter, represents our most comprehensive relationship with an APAC carrier. This partnership helps strengthen our presence in the APAC region, which is a key growth area for us over the long term. Importantly, we also renewed our long-term partnership with Air France KLM, to a multi-year extension in the fourth quarter, another partner that is looking for outsized growth as we emerge from the pandemic. Christopher will provide more details on that in a few moments. On a broader operational level, we also announced the collaboration with Rocket Travel, a booking holdings company, which will maximize the efficiency of our platform for bookings customers, and allow us to strengthen our focus on our core competencies. Booking joins a growing list of blue-chip third-party companies, now leveraging our Loyalty Commerce platform, to efficiently access the loyalty industry. The strides we are making with adding new partners complement the new deployments and enhanced services we have continued delivering to our existing partners. During the fourth quarter, we launched our Accelerate Anything capability with two new carriers, and added additional exchange options across the platform. With this strong fourth quarter, we finished 2021 with one of our strongest business expansion periods in our history, adding three new Loyalty Program partnerships and launching a full 32 Product and Service deployments into the market.  These excellent results have both broadened the number of Loyalty Program partners that we've added to our Loyalty Commerce network and also deepened our relationships with the world's most successful loyalty programs by adding new products and services to grow our respective businesses. Exiting 2021, we now have a Product and Services footprint that is 15% larger than when we entered the pandemic and we are excited about the prospects of leveraging this to drive even more value to the loyalty industry in 2022 and beyond. While 2021 delivered one of our strongest periods of business expansion, we're very excited to see that this success is continuing here in the early days of 2021 -- sorry, 2022. As you saw last week, we renewed and extended our relationship with the Marriott Bonvoy program. Marriott is one of our largest and most successful relationships and we're thrilled to be working together during this multi-year extension. This extension comes with a significantly expanded mandate for growth. And we're seeing great early results on this enhanced partnership. The new partnership and expanded relationships we built throughout 2021, have leveraged the strength of our Loyalty Commerce platform while deepening our footprint in new geographies and verticals. We have moved quickly and decisively to support our partners in today's rapidly evolving environment, and I'm very pleased of the continued progress our team has made. We will work to further execute on these opportunities throughout 2022. The travel and hospitality industries look very different today from where they stood this time in 2020, the pandemic certainly created unprecedented turbulence in the global travel industry, and as we navigated the past few years, we saw various spikes in that turbulence, with the appearance of Delta, and later the Omicron variant. Throughout this period, each time the travel industry faced these challenges, the Loyalty Programs were increasingly relied on to engage travelers and to drive strong financial results.  The current violent invasion of Ukraine has presented another terrible situation, and we are actively responding to this event as well. We do not do any business with Russian Airlines or hospitality companies today and we have removed those companies from our pipeline so that we do not expect to operate in that market in the future. And while this could present another period of turbulence for the industry, we are confident, we can continue to demonstrate our increasing value proposition during another challenging time for our Loyalty Programs partnerships. The journey from then to now was difficult for all of us in the industry. Yet within our business, our strategy remained intact, and we believe that has positioned us to meet our partners' increasing mandate for outsized growth. As we continue to develop and introduce loyalty products, implement meaningful product extensions, and further ramp up our marketing and merchandising efforts, we believe the long-term financial growth targets we established before the pandemic, remain achievable. With that confidence in the longer-term opportunity and with a very positive start to the year, we expect to deliver strong growth in our key metrics throughout 2022. We work tirelessly to accelerate our execution on our core growth drivers through the end of 2021, and we will continue ramping up efforts on these fronts and supporting the powerful role Loyalty Programs are playing, in the new normal of travel and hospitality industries. I will now hand it over to Eric to review our financial performance for the fourth quarter and full year, and then Christopher will provide some additional highlights and perspective on our partner activity. Eric?
Erick Georgiou: Thanks, Rob. And thanks for joining everyone. As always, all figures on today's call are in U.S. dollars. I'll start by providing some color on our fourth quarter financial results and then provide some early thoughts on 2022. Fourth quarter results demonstrate the strengthening momentum we generated in our business throughout 2021 and were in line with our preliminary ranges provided in January. Total revenue in the fourth quarter of 2021 increased significantly to a quarterly record of $115.1 million, a 104% increase over the year-ago quarter and a 33% increase over the third quarter. Revenue was underscored by increased transaction volumes across our platform, reflecting strong performance from our marketing activity, and aided by the benefits of recovery tailwinds, which benefited transactional activity that is more closely tied to near-term redemption activity. And despite the Omicron wave, which started late in the fourth quarter, we did not see our performance metrics meaningfully affected, as the impact seems to be less severe and have a shorter duration than previous ways. Gross profit in the fourth quarter of 2021 was $17.1 million, a 38% increase over the third quarter, and up more than doubled from $8.5 million in the year-ago quarter.  We were pleased to see strong organic growth from the majority of our partners in the fourth-quarter, with several ending the year above their 2019 performance levels. Geographically, the U.S. market has remained our strongest market, particularly with our hospitality and domestic airlines in this region. In the midst of strengthening transaction volumes we generated across our existing partner base in Q4, we also benefited from the impact of new partners and services we have brought to market over the last two years, as these new additions have continued to ramp through the pandemic, and become a more meaningful portion of our quarterly performance. In addition, gross profit in the fourth quarter also benefited from our Tier status product, which was reintroduced during the fourth quarter on a limited basis. As a reminder, this product which is seasonal in nature, and generally offered during the fourth quarter, was not in market in the year ago quarter as airlines extended status to members, free of charge due to the impact of COVID-19. Given the excellent results we saw with the limited reintroduction, we'd expect to see more of these services moved into market later in 2022. Operating expenses in the fourth quarter of 2021 were $15.2 million, an increase from $9.9 million in the year-ago quarter. The increases were a result of the gradual easing of spending restrictions implemented at the onset of the pandemic, higher stock-based compensation and the impact of late subsidies reported in the prior year periods. We recognized $1.2 million in subsidies from the Canada Emergency Wage Subsidy Program in Q4 2020, and cease participation in this program during the second quarter of 2021. Adjusted EBITDA for the fourth quarter of '21 came in at $5.5 million, up significantly from roughly $400,000 in the year-ago quarter, and $2 million in Q3 2021.  The sequential and year-over-year increases were primarily driven by the high levels of gross profit I mentioned earlier. Turning to our balance sheet, our liquidity position remains strong and positions us well to deliver on our growth drivers. Total funds available of approximately $109 million at the end of Q4 represented a significant increase from approximately $79 million at the end of 2020. To summarize 2021, we generated strong improvements across our key financial metrics, which were bolstered by strong marketing activity, the impact of new partnerships and products, and aided by recovery-related tailwinds As we look ahead to 2022, we are encouraged by a very positive start to the first quarter with activities across our platform looking very strong. We remain optimistic about 2022, but continue to operate in volatile natural environment. The impacts of COVID-19 still remain in certain markets. And while we have seen positive signs of recovery over the last several months, the extent of recovery varies globally and is evolving. And as Rob mentioned, we are continuing to monitor the developing situation in Eastern Europe, which could cause further disruptions for travel. While our economic exposure to this region is low, and we have not seen any impact so far, the situation is obviously quite fluid. While we're not yet initiating annual guidance for 2022, I'll provide some color and early thoughts on the year ahead. Overall, we are optimistic about our ability to grow in 2022.  Based on current trends we're seeing, we expect travel to continue to recover through the year, and we'll work with our partners to capture their outsized growth targets. Accordingly, our expectation is to drive meaningful year-over-year growth in revenue and gross profit in 2022. From an expense standpoint, we're taking a long view on where we invest. As we think about the significant opportunity in front of us and the growth mandates from our partners, we plan to make investments in marketing, data analytics, and engineering resources in 2022. These additional resources will be focused on supporting our partners' aggressive growth mandates, as well as adding scale to our platform to more efficiently facilitate this growth. Notwithstanding our plans for ongoing investments in our business, our expectation for strong top-line growth is expected to deliver material growth to our bottom line in 2022, and improve our effective margin or operating leverage, and to grow that metric even more in 2023. To be clear, the global environment presents risks that will be difficult to predict at this stage, and our expectations for 2022 are being made, assuming no substantial disruptions. As always, we will provide updates and incremental color on our progress throughout the year, as we gain further visibility, and continue to monitor trends in our industry. And with that, I'll turn it over to Christopher.
Christopher Barnard: Thanks, Erick. Our progress on our growth drivers throughout 2021 highlights the resilience of our strategy and our dedication to providing flexible, high-quality Loyalty Commerce services to our current and prospective partners around the world. With many of our Loyalty Program partners pursuing more aggressive long-term growth mandates coming out of the pandemic, our Loyalty Commerce platform, suite of services and broad partner base makes us well positioned to continue delivering our main objectives. To review the progress we made in Q4, we expanded the reach of Marriott Bonvoy, existing buy service in October by adding top up capability directly to in their bookings flow. We now power Marriott Bonvoy activity directly in the redemption flow, having moved this existing channels onto our Loyalty Commerce platform. This product represents a substantial channel expansion for us and the partnership, and will enable us to deliver significantly more revenue to Marriott over the long term. In addition, the new top-ups solution enables Marriott to enhance its personalized loyalty marketing campaigns with a variety of promotional constructs providing Marriott Bonvoy members with a wider range of new offers. We placed a strong priority on proving the depth and breadth of our deployments for a long-term partners, ensuring that our loyalty solution represents an efficient tailored experience to our program partners and their customers. Subsequent to year-end, I would also like to higher -- highlight last week's announcement of a multi-year extension to our partnership with Marriott.  Started in 2006, our relationship with Marriott is now well into its second decade. After its merger with a very popular SPG program and successful relaunch of the the combined Bonvoy program, we have been a proud to play our part in continuing to steadily grow our performance and successfully increase member engagement while driving significant economics in the partnership with this leading hospitality brand. You've seen the sector become an increasingly important one for us, as it is being fastest to recover from the pandemic lows. We're very encouraged by the prospects of our newly expanded in-booking prop service and look forward to continue our focus on data-driven, personalized growth initiatives with Marriott. In the fourth quarter, we are also pleased to renew our long-term partnership with one of Europe 's largest frequent flyer programs, Air France KLM 's Flying Blue to a multi-year extension. Enduring support of our long-standing travel hospitality partners is a testament to the strong results and high quality of service that our team has worked to preserve across our partner base. Building upon the support we provide the Flying Blue Program throughout our partnership, we added our Accelerate Anything capability to their existing service suite in the fourth quarter. During this time, we also launched Accelerate Anything for Copa Airlines, a prominent Latin American carrier. After retooling our traditional travel dependent accelerated product into this more flexible option during the pandemic, we have swiftly expanded its reach in less than two years, after introducing it. Loyalty partners and customers alike have benefited from this product's optionality, whether customers use it to accumulate loyalty currency for future travel use, or leverage additional earning options to support near-term travel needs. We launched this new service in the Spring of 2020, and now with these two launches, have seven total deployments in the market.  We continue to expand deployments and integrations of some of our legacy products offerings throughout the fourth quarter. In particular, we continue to make strong progress with our exchange service, as we added both the Wyndham Rewards Program and Choice Privilege Program, as exchange options for Citi ThankYou Rewards. In addition, we enabled Air Canada's Aeroplan, Virgin Red, and Turkish Airlines Miles&Smiles exchange options with Bilt rewards, a newly launched rent rewards program. Having just launched our partnership with Bilt in Q2 2021, we are pleased to be rapidly advancing our progress with this new type of Loyalty Program partner, and to be doing so in a way that is mutually beneficial for many of our existing carrier and hospitality partners. Subsequent to year-end, we continued our exchange services momentum, by enabling Turkish Airlines Miles&Smiles, as an additional Citibank Thankyou points transfer options, as well as linking Qatar Airways program to our AIR miles Middle East exchange offerings. Now turning to our progress with some of our newer partners, launched during Q4, several -- we launched several contracted solutions for APAC carrier EVA Air. We launched EVA Air purchased Miles offering with at the inception of the partnership in November, allowing EVA's Infinity MileageLands customers to get their rewards sooner by buying additional miles at preferential rate. EVA Air is also leveraging our industry, leading loyalty marketing expertise and data-driven insights to develop personalized campaigns for their Infinity MileageLands membership base, which is expected to drive additional growth for the program. If you track towards launching a series of additional solutions expected to follow later this year, we have created a strong foundation for both this comprehensive partnership and our continued efforts to expand our APAC footprint.  Lastly, we announced a collaboration with Rocket Travel, the industry leading provider of bespoke white-label travel booking platform that aims to enhance the overall booking experience offered to our Loyalty Program partners. Under the collaboration agreement, Rocket Travel, the White Label Loyalty hotel and car booking service will replace the services previously provided by the Points Travel solution. This process will still leverage the capabilities of our Loyalty Commerce platform, as we will continue to manage the Loyalty Program relationships, and process the miles and points portion of each transaction. In addition, pointshound.com became a Rocket Miles channel provider, which will facilitate accelerated rewards, and streamline user journey for our loyalty customers, across an even greater selection of global loyalty partners. This new initiative allows us to continue building on our deep, and long-standing Loyalty Program relationships, as well as deepen our focus on the core competencies, and unique transaction capabilities of our Loyalty Commerce platform. In fact, the collaboration is already off to a strong start, as we expect one of our forthcoming service launches for EVA Air to include the first deployment, on a travel booking service, under this Rocket Travel partnership. Together with Rocket Travel, we will continue to seek additional opportunities to enhance our loyalty partners and customers' experience, and further complement each other's offerings. As you've heard us express throughout 2021, our commitment to our core growth drivers did not waver during the lows of the pandemic. And this resiliency enabled us to drive increasingly strong financial and operational results, as we progressed through the year. Our Q4 performance reflects the high quality of service and support we have continuously delivered to our partners, as well as our execution on our pipeline of new partnership opportunities. We've moved into 2022 with a renewed confidence in our long-term growth prospects and while we do not have a terrific visibility on how the broader recovery will play out over the coming quarters, we have proven our ability to move swiftly and aggressively in support of our Loyalty industries, ramping growth expectations. As we progress further into 2022, we will work to continue creating new partnerships with global Loyalty Program s, deepening our current partnerships through launching net new service deployments, and enhancing the services we currently have in market. With our robust foundation and business development pipeline we are well-positioned to continue advancing our growth initiatives and supporting the substantial -- the essential role that Loyalty Programs are now playing in the Travel and Hospitality industries recovery. Operator, we can now open the call up for questions.
Operator: Thank you, sir. And at this time we will be conducting a question-and-answer session. [Operator Instructions] And our first question comes from the line of Drew McReynolds with RBC. Please proceed with your question.
Drew McReynolds: Thanks very much, and good afternoon. A couple for me, just starting on the long-term target so great to see those being achievable within the next three years just to confirm that's the $90 million in gross profit or gross margin at $40 million in EBITDA. And when you look at your playbook for growth, I know there is obviously the three key pillars of growth to get there. Is there one or two that stands out as the bigger delta in the growth equation? Thank you.
Christopher Barnard: [Indiscernible], it's Chris. Thanks for the question. Yes, those numbers are correct. And I would say not necessarily evenly balanced, obviously, that growth would rely on all three. I think we have such a large installed base of partners now that we see increasing opportunities and hence our ongoing investment over the last number of years in the operational capacity and automated marketing capabilities that we've been developing to really expand the current services in market a little bit more aggressively. So we're excited about that element. But again, with the larger portfolio of partners also comes more cross-selling opportunities as well. And there's a long list of net new partners that we're still going after. So it will be a balanced approach to that gross profile.
Drew McReynolds: Okay. Super. And just, just keeping on, I guess the outlook, thanks Erick for all that color, very-very helpful, and great to see the momentum in the business just in terms of, and maybe a quarterly pacing if you will for 2022, I know probably almost impossible to give much precision, but is there anything that stands out from your perspective as to outside of the typical seasonality, is there anything else we should factor into our forecast?
Erick Georgiou: Yeah, hey Drew, Erick here. I think from a quarterly standpoint, I mean, we're going to steer away a little bit here in terms of providing any kind of quarterly guidance there. But I think, as we indicated on our call, Q1 is coming in very, very strongly for us. We would expect to see in-line with how we described the full-year, we'd expect our year-over-year growth on a quarterly basis to be quite significant as well. And certainly over historical factors we had in the previous years. So I think, what we've seen over the last few quarters, is going to continue in terms of year-over-year growth, but that's about as much as I'd want to provide there. Sure.
Drew McReynolds: Okay. Now that's perfectly fine. In terms of the launch of the EVA or EVA relationship in November, I would assume in Q4, it clearly didn't capture the full run rate of that, given that you've got a lot incrementally planned in terms of that agreement in 2022. Is there any kind of quantum you can put around it in terms of what the EVA contribution was in Q4? I'm assuming you can't do that, but anything would be helpful, any context?
Erick Georgiou: Yeah. Sure, Drew. It was quite small that was launched. I don't have the exact date in front of me. But probably mid-quarter, we have a number of products slated to launch with them. So I believe we only started with our traditional buy service at the gate. And so we probably only had about six weeks of that activity, and that's continuing to ramp up. Our expectation is to launch more products with them throughout 2022. So it was certainly quite small during the fourth quarter.
Drew McReynolds: Okay. Super. Well, I've got you Eric. On the NCIB, I don't think there's been any change, certainly in the MDA. MD&A doesn't point to it where you're just going to be limited to tactical use only during the near term. Wondering, what are the trigger points to get back to being a little bit more active on the buyback?
Erick Georgiou: Yes, thanks Drew. For sure the NCIB is on pause for now. In line with our guidance conversation, we're certainly still looking at Eastern Europe and want to see a bit more recovery in other regions as well. But I would expect us to -- for Chris, Rob, and I, and our board to have that on our board agenda in the next three or six months in terms of firming up our capital allocation strategy going forward.
Drew McReynolds: Okay. Super. One last one for me for the list here. I don't know who wants to take this one. But obviously a lot of activity out there from all of your partners. And I don't know anybody who is not traveling here in March. So all of this period, good. You've talked about the last six to eight quarters, we're coming out of this Loyalty Programs, and partners are using these programs much more effectively than they perhaps were in the past. Trying to get a sense of to what extent there's a pent-up level of activity here that's going to flow through in 2022 in DSE at some point hitting a tougher comp on some of that pent-up activity, getting through the pipeline? Or are we just climbing back up to a higher level that can more or less be sustained going forward?
Robert MacLean : Yes, Drew it's Rob. Yes. Look, I think your commentary around pent-up demand, just generally, we're seeing we're well into the recovery because you number quarters where we've continued to see improving transactional and performance, financial performance. We see the demand and kind of feedback from our partners globally that that is continuing, I think very ambitious views on 2022. In terms of overall travel growth, I think like you just anecdotally, we're all happy to be talking about travel and more excited about being back on aircraft and staying in hotels. We definitely saw the hotel performance pick up earlier than air aviation travel recovery. That's been really leading the way for us, we see that continuing here in 2022 and into 2023, for sure. I think generally most travel prognosticators are not expecting business travel really to be back into late next year, so still a tremendous amount of lift coming from a travel recovery in our view. I think the second question, if I understand that pent-up -- sorry.  In terms of bringing on new partners and backlog, I think if I understood that we've been, as I mentioned in my prepared remarks, very pleased with the business development efforts and the demand for our products and services from the loyalty industry. That's continued here in 2022. You should expect to continue to see us deploying more and more products with new partners and existing partners. I don't see that -- I don't see that shifting -- as Chris spoke about as our footprint continues to increase and we're 15% plus larger than as we entered into the pandemic. As that continues to increase with new logos, we get that many more new cross-sell opportunities and that's proving to be a very strong kind of channel of growth for us as our partners are looking to leverage their programs more and provide more utility for their membership. So, I don't see a waning in terms of that growth. I think as you described, maybe tougher a quarter-over-quarter metrics. I don't see that in our foreseeable future and it's -- we're just going pretty hard to try to capture and keep building the momentum on this.
Drew McReynolds: Okay. Fantastic. Thank you very much.
Operator: And our next question comes from the line of Gavin Fairweather with Cormark. Please proceed with your question.
Gavin Fairweather: Hey, good afternoon and congrats on the strong results. I thought I'd start out just on the long-term target. It's nice to see you, kind of put a pin in the timing of that in terms of three years now, I guess my question relates to what assumptions we've made for travel volume underpinning your confidence of putting the timing of three-years [Indiscernible].
Erick Georgiou: Yes. Hey, Gavin, it's Erick here. So certainly a lot of estimates out there in terms of when we see travel more broadly come back to pre-pandemic levels. I think based on the external research we've done and what we're seeing with our partners most are pointing to a 2023 timeline sometime in there. So we're trying to be very conservative with how we apply a recovery curve in our forecast. What does bring us some comfort is we've seen loyalty be at kind of the lead so far with respect to travel, certainly how we performed has been quite strong. We think loyalty is going to be a leader over the travel recovery. And so 2023 would kind of be our estimate right now, probably later in that year.
Robert MacLean : I'd say -- Gavin it's Rob. To reiterate Chris's comments around the growth driver, the overall recovery of travel certainly contributes to our optimism and confidence in the long-term performance. But we're really seeing such strong performance on new partner engagement and launches that we put in place, the cross-selling opportunities, the 30-plus deployments that we put in the marketplace in 2021 is a good example. We see that continuing. And then going deeper into these databases, and optimizing the existing footprint. Those three core drivers of our business alone give us a high degree of confidence on how we forecast that out over the long term. Frankly, more difficult to forecast that stuff in the short-term, but high degree of confidence on our normal course business, how that evolves in 2022, '23, and '24. So we're pretty confident on those long-term objectives and I think as the recovery continues to evolve, we're [Indiscernible] only strengthens the growth curve.
Gavin Fairweather: That's great, that's super helpful. And I did want to chat about good sales success that you've had next. Obviously three new programs, ready to expand in 2021, lots of progress there. It doesn't sound like that's really going to slow down here in the near term. I guess I'm curious, are you replenishing the pipeline at the top of the Fall? Is there any kind of thoughts about whether there's going to be a bit of a slowdown from the third? Just curious for any kind of trends that you're tracking in the pipeline, Erick -- just given how hot the markets have been here?
Erick Georgiou: Yeah -- No, it's a good question. I think the short answer is, we're not seeing a slowdown. We have had -- we felt very good really through 2020 and 2021, in terms of our business development team's success in migrating partners through the pipeline and into close and into launch. They are very cognizant of filling the top of the pipeline as well. As per your question, I think we're pretty comfortable with how that's evolved. Loyalty broadly is gaining momentum. So, we're seeing more and more companies move into that sweet spot for us. Larger currency-based programs with a profit motive. So, as more of those organizations move under that umbrella, that gives us an opportunity to keep building the top of the funnel. So, I generally feel very good about it and as Chris said earlier, when we think of the pipeline and the funnel, it is a good mix of new logos coming into the pipeline, but then also new products and services. And certainly, that side of things, we're filling the funnel on that pretty much every day.
Gavin Fairweather: That's great. And then lastly, for me, just given what's going on over in Europe, can you just refresh us on maybe the gross profit sensitivity of your business? Or how much would be tied to other transatlantic traveler, or continental Europe travel? Can you help us out on that front?
Erick Georgiou: Yeah. Hey, Gavin. It's Erick here again. Very small exposure right now. Would be far less than 1%, very small number in terms of any sort of activity coming out of Russia or Ukraine. We don't really have any partnerships in that region right now so we don't think there's much exposure there. We haven't really seen any major impacts so far in Q1. It is something we're looking at in terms of whether it impacts routes of our current partner base. But still far, so good.
Gavin Fairweather: Great. Thanks so much.
Erick Georgiou: That's good.
Operator: Our next question comes from the line of Gary Prestopino with Barrington Research. Please proceed with your question.
Gary Prestopino: Hi, guys. I just want to make sure I'm right on these long-term targets. So is that a four year event from here? So we're looking at '22, '23, '24, exiting 24 ', exiting 25 '?
Christopher Barnard: A - Exiting 24.
Gary Prestopino: Okay. Alright. And then could you maybe talk about the 32 product launches, service deployments and all that? Were there any products or services that really drove a real strong level of incremental revenue, that has really experienced the tremendous uptake from your partners, and that you would expect this to continue into 2022?
Robert MacLean : Yeah, I'll take the -- I'll jump on that to start, and then maybe Erick can add some color. It's pretty broad when we think of the products that we're deploying, the Accelerate Anything product that we launched in the pandemic has been very well received by the market. I think we've got --I think approaching 10 deployments of that in the marketplace, in pretty short order. We've had a significant amount of exchange activity as more and more companies are engaging with the loyalty industry. I think the BILT relationship where we've added a number of exchange partners with BILT, which is kind of an innovative and very interesting Loyalty Program that's emerged here in the last year in a bit, and leveraging our platform to be able to move quickly and efficiently, and to launch their business. And then, as we bring on new partners and launch new Buy, Gift and Transfer kind of core products, we've seen and we'll continuing to see, we believe, very strong growth on the performance of those products and services. So, it's a pretty broad mix in terms of deployments and different kinds of products that we have in the marketplace. I think we see that accelerating, going forward as the footprint continues to build. Our products and services, we've been always been highly confident that if an Accelerate Anything type product is relevant for one partner, it's likely going to be very highly relevant for the rest of our 30 or 40 or 50 partners. So we have a team of people that are spending a lot of time demonstrating results in demonstrating the success of our products and that's really helping us deploy it, and more and more products into our existing footprint. So lots of good stuff that we were really pleased on 2020 as low as 2021. And that approach is continuing here in 2022.
Gary Prestopino: Okay. And then would it be applicable -- I mean you're 15% bigger than when you exited or than when you started the pandemic. So if we look at 2019 and where you were in terms of total revenue and adjusted EBITDA, versus where you are at year-end here. It would seem that you would certainly be exceeding the $401 million of revenue that you generated in 2019. But there's a big differential in the adjusted EBITDA generation, looked like it was about 33% on net revenue in 2019, about 24% in 2021. Is there anything that's really structurally changed or is that just a reflection of more marketing activity that is impacting your gross profit line? I guess what I'm trying to get at, I know you're not giving any guidance, but it would seem that if you're bigger versus pre-pandemic, that $21 million adjusted EBITDA number should at least be achievable that you did in 2019.
Erick Georgiou: Hey Gary, it's Erick here. So I will kind of steer away from providing any guidance clearly, but maybe just touching on your 2021 comment a little bit. So finishing the year at just under $51 million of GP, I think comparing that to how we exited 2019, which was just under $60 million. So really the way we think about it is, exiting 2019 was $60 million roughly. We've layered on a bunch of new products and services throughout 2020 and 21. And so that is certainly contributing to our economic profile in 2021 and will continue to do so in 2022. I think what's underlying all of that, and what's impacting the EBITDA line, is a net existing business from 2019. Most of our partners are are simply not after pre-pandemic levels yet. If I were to kind of estimate how many partners have hit that number, it's probably nine or ten. There's a lot more partners that have a lot of growth -- a lot of room to grow in 2022. So with respect to 2021, certainly the operating leverage wasn't as strong as 2019 simply because most partners hasn't come back yet. As we think about it long-term, I think what I would lean on there, is our long-term outlook and the implied leverage in that outlook. I think you've got to the mid-40s or so or roughly 40%. And so, we look to that outlook in terms of what our long-term targets are. It's not necessarily going to be a straight line, but we do expect to see operating leverage improvements in 2022 over 2021. For sure.
Gary Prestopino: And then, could you maybe just give us numerically what you ended up in terms of Loyalty Partners at the end of 2021 versus where you were in 2019?
Erick Georgiou: Yeah. I don't have that number off-hand, Gary, we can certainly take that one offline. And in the way we report on it and certainly the way we think of it. We've got roughly 60 Loyalty Program partners with either commercial contracts or better integrated into our platform. That hasn't closed over time. We've had a couple of partners merged. I think we've had a couple, but that has grown generally over the last three years or so.
Gary Prestopino: Okay. Thank you.
Operator: Our next question comes from the line of Greg Gibas with Northland Securities. Please proceed with your question.
Greg Gibas: Hey, thanks for taking the questions, guys. You touched on this in your prepared comments, but wondering if you could comment a little bit further on the impact that you are seeing in Q1, or had seen in Q1 as a result of the Omicron surge. And then also, if you could comment on where promotional activity levels are in Q1 against Q4?
Robert MacLean : Yeah Greg, it's Rob. I think in the prepared remarks we commented Omicron, we were watching pretty carefully, obviously in the fourth quarter and then into the first quarter, it is proven to be pretty nominal impact. And I would say based on what we've seen largely through it, so it was a bit like Delta in September, October proved to be a fairly temporary blip than it was a pretty minor one in the first place. So I would say it'd be kind of the shortened suite response Omicron. I think around promotional and campaign activity we got -- we have been speaking at some length now about what we viewed as quite a change in the overall posture of the loyalty industry in our Loyalty Program partners in particular, where they are taking a much more sophisticated and expansive view on what the potential contribution of their Loyalty Program are to their overall corporate revenues and profitability and engagement. Metrics. That's translated through 2021 and into our 2022 plan very directly, just a much more ambitious approach to it. When we think about our marketing and merchandising and campaign activity, with the vast majority of our partners, we would have full year marketing and merchandising plans in place and approved and kind of in-motion now. We've seen really positive uptake from program memberships here in the first quarter. Well, on the kind of the different offer sets and campaigns that were running, I think our marketing and merchandising teams, our analytics teams have been just getting better and better every day on getting access to more data, being able to better utilize that data and leverage it to the advantage of our partners and our business, and I think we're going to continue to see that happen. Generally speaking, these long-term and annual plans, we're constantly refining that and adding reach there, as we demonstrate success on Campaign 1 versus Campaign 2, and so I'm going to expect to see that continue in 2022. I think one of the comments, where Erick has spoken of this over the last year and a bit, with the benefit of our data and analytics work feel like we're getting more efficient in terms of how we're putting campaigns in the market. We're finding ways to be a bit more profitable for our partners in terms of how we target and what kind of offers we put in place. I think that's great news for our partners, is great news for us. And so it allows us to continue to be very active, but being active in a way that is very kind of fiscally responsible. So I think you'll continue to see that happening during the course of '22.
Greg Gibas: Got it. Very helpful. And if I could -- high-level question. Just wondering if you could touch on maybe how far out your visibility is on new partner launches or new services with existing partners. You talked about the pipeline being very strong. I'm just trying to gauge on -- is your visibility six months out, til year-end, multiyear, how should we think about them?
Robert MacLean : I think there's -- from a pure launch standpoint, pretty good visibility through 2022 in terms of new partners and new products that are in the development cycle and in the delivery channel, that's one of our busiest groups in the company right now, we're happy to say. I think, as you get out into '23, and even in the last quarter of '22, but certainly out into '23, we've got lots of slots identified as being partner X, or product Y that we would expect to be in those slots. But that'll evolve a little bit as we get closer to the end of the year, and into 2023. But pretty good visibility for sure through the rest of '22.
Greg Gibas: Okay. Great. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Ed Woo with Ascendiant Capital. Please proceed with your question.
Edward Woo: Congratulation On the quarter. You seem to be doing very well and travel and hotels verticals. What about non-travel and hospitality industries? Are you guys looking at extending the pipeline to bring in new partners in those areas?
Christopher Barnard: Thanks a lot. Certainly some vertical expansion is a key element of our plan and we are seeing the exchange activity as I talked with Erick, Rob mentioned a little bit as well. We've been regularly adding new programs to our exchange platform. And just a reminder, we run the exchange activity for the Chase Bank Ultimate Rewards, majority of the Citibank ThankYou Program, a couple of Middle Eastern deployments on the banking side, and that new Loyalty Program Rob mentioned calls Bilt Rewards, which is a rental. People pay their rent and earn Bilt Rewards. And one of key redemptions for Bilt is transferring into a number of our Loyalty Program partners. So that's a key portion, while half of an exchange is still in the travel and hospitality space. The way out, the funding of that is not -- it's in the financial services usually, and now more in the retail with the Bilt activity. So we're seeing that side of the fence growing and also adding non-travel options onto our platform to allow programs to redeem for non-travel as an ancillary redemption. I think we've talked about the lift where it can shift that we powered for Hilton, and we've see some expansion opportunities there as an example of that ability to take your travel-base points and redeem them for some non-travel activities.
Edward Woo: Great. Well, thank you for answering my questions and I wish you guys continued good luck. Thank you.
Operator: Okay. This time this concludes our question-and-answer session. I would now like to turn the call back over to Mr. MacLean for closing remarks.
Robert MacLean : Thanks, Operator. We'd like to thank everyone for listening to today's call and look forward to speaking with you. When we report our first quarter results in the not-too-distant future. Thanks again for joining us.
Operator: And ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.